Operator: Welcome to the second quarter investors conference call. Today's call is being recorded. Legal counsel requires us to advice that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Securities Administrators and in the company's Annual Report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, July 26, 2016. At this time, for opening remarks and introductions, I'd like to turn the call over to Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator and good morning everyone. Thanks for joining us for the second quarter conference call. As the operator mentioned, I’m Jay Hennick, the Chairman and Chief Executive Officer and with me today is John Friedrichsen, our Chief Financial Officer. This conference call is being webcast and is available on the Investors Relations section of our Web site. A presentation slide deck is also available to accompany today’s call. Earlier today Colliers International reported strong financial results for the second quarter despite many operating currencies declining against the U.S. dollar which negatively impacted our reported results. Revenues were up 18% on a reported currency basis and 21% in local currency. Adjusted EBITDA was up 18% and 23% in local currency while adjusted EPS increased 9% over the prior year, up 14% if the currencies held constant. During the quarter we consolidated the global leadership of Colliers in Toronto with Seattle and Vancouver continuing as shared service centers. The plan resulted in the downsizing of the Seattle office and modest headcount reductions but overall it will improve our operating effectiveness for the future. We also increased our semi-annual dividend to $0.05 per share from $0.04. Operationally strong internal growth continued in most major markets, especially in the Americas region and pipelines continue to reflect solid activity. That’s despite the uncertainty in the western European markets which is causing us to manage our operations closely. Strategically we continue to look for ways to diversify our business by service line and by geography so that we can strengthen our already well-balanced global operating platform. For example, during the quarter, we experienced excellent growth across all service lines with sales brokerage leading the way this time. Geographically, each of our regions, the Americas, EMEA and Asia Pac, reported solid quarters with the Americas showing the strongest growth, up 30% in local currency versus the prior year. Our Enterprise 2020 plan is designed to double the size of our business over the next five years which will translate into significant incremental value for our shareholders. We will accomplish this by growing internally faster than industry growth rates and augmenting that growth with prudent acquisitions. With almost 20% plus of the equity of our company owned by our key leaders and professionals, we are highly engaged and committed to achieving this plan. Since the beginning of the second quarter and shortly after, we extended operations in the Americas region, in Florida, in Michigan and in New York, and we also expanded our project and management and development services business in the U.S. northeast. Our industry is highly fragmented and consolidating and Colliers have a successful track record of growth. In fact, we have been the fastest growing global real estate services company over the past 12 years. Given the vast opportunities we have, we expect to be able to continue growing the Colliers brand and Colliers global platform for many years to come. What sets us apart is our enterprising and entrepreneurial culture. It's part of our DNA. People from Colliers think differently, share great ideas and collaborate together to provide the best possible advice to clients. That cultural difference is one of the key reasons why we have been so successful over an extended period of time. With our disciplined growth strategy, track record of success and strong balance sheet, we are in a better position now than in any other time in our history to continue creating value for our shareholders. Now let me turn things over to John to review our financial results for the quarter and then we will open things up to questions. John?
John Friedrichsen: Thank you, Jay. As announced in our press release this morning and highlighted by Jay in his opening remarks, Colliers International Group reported strong consolidated financial results for our second quarter 2016 with solid contributions from most of our operations across our global platform, including some exceptional results in a couple of markets. I will address our overall consolidated financial results for the quarter, our operating results by region, as well as our capital usage and financial position, all of which relates to continuing operations. For our second quarter 2016, consolidated revenues increased to $483 million, up 21% in local currencies from $410 million in the second quarter of 2015 with 11% of our growth generated internally and 10% from acquisitions. Total revenue growth for the quarter in our U.S. dollar reporting currency was 18%. Adjusted EBITDA for the quarter totaled $52.8 million, up from $44.6 million in Q2 of last year, an increase of 23% in local currencies and 18% in U.S. dollars with our margins at 10.9%, even with our margin reported last year. Adjusted earnings per share came in at $0.63 compared to $0.58 last year, up 9% in U.S. dollars with our growth negatively impacted by higher tax rate in the current year compared to 2015 and a less favorable translation of foreign exchange rates also negatively impacted adjusted earnings per share in the quarter by $0.03. Our adjustments to GAAP EPS in arriving in adjusted EPS are outlines in our press release issued this morning and are composed primarily of non-cash charges that we view as largely unrelated to our operating results. Now turning to our operating results, our $483 million of revenues for the quarter was comprised of $151 million of sales brokerage, up 34% of local currencies while lease brokerage came in at $152 million, up 13% in local currencies over Q2 of 2015. Meanwhile, revenues from outsourcing and advisory services totaled $180 million, up 17% in local currencies with strong internal growth in workplace solutions and project management, property management and consulting and appraisal. More recurring revenues generated by our outsourcing and advisory services segment represented 37% of our overall revenues in the quarter, compared to 39% in Q2 of last year, attributable to stronger growth in our transactional related services in the current quarter. Geographically, 55% of our revenues, 51% of our adjusted EBITDA was generated in the Americas in our second quarter, up from 50% and 37% respectively last year, bolstered by acquisitions and strong revenue growth as well as operating leverage. In the second quarter, revenues in the Americas totaled $263 million, up 30% in local currencies, with 14% internal growth and the balance from acquisitions. Brokerage revenue gains were strong in both U.S. and Canada, lease brokerage revenues were up 22% in local currency versus last year while sales brokerage revenues were up 54%. Outsourcing and advisory revenues were up 21% in local currencies, led by strong growth in project management in Canada and U.S. and both property management and consulting and appraisal in the U.S. Adjusted EBITDA came in at $28.4 million versus $17.4 million last year and a strong pickup in margin to 10.8% versus 8.4% last year attributable to operating leverage and the impact of acquisitions completed since Q2 of last year. Turning to EMEA. Revenues of $117 million in the quarter increased 14% in local currencies with 6% internal growth and 8% from acquisitions. Sales brokerage revenues were up 14% over last year led by Germany and central and eastern Europe, while lease brokerage contracted by 2% where strong leasing activity in U.K. was offset by a decline in Germany and France which both had very strong leasing activity in the second quarter of last year. Meanwhile, revenues from outsourcing and advisory services increased 21% led by strong growth in our workplace solutions in mainly in France and consulting and appraisal in the U.K. Adjusted EBITDA for the region was $17.1 million, compared to $17.8 million last year and a margin of 14.6% compared to 16.9% last year, primarily related to revenue mix and the occurrence of certain expenses slightly earlier this year compared to Q2 2015. And finally, in our Asia Pacific region. Revenues came in at $102 million, up 9% in local currencies. Strong growth in sales brokerage of 18% was accompanied by a more modest 1% increase in lease brokerage revenues. Activity in both sales and leasing in Australia and New Zealand was very strong, tempered by declines in Asia, primarily China and Hong Kong. Outsourcing and advisory revenues were up 3% in local currencies across all outsourcing and advisory service lines in Asia, offset by a planned decline in valuation services in Australia resulting from a managed contraction of services over some high quality lower risk valuation assignments. Adjusted EBITDA was $10.5 million, down from $12.1 million last year, primarily on account of the revenue decline in Asia and cost associated with recruiting key personnel in that market with their margin coming in at 10.3% versus 12.3% last year. Moving to our capital deployment and balance sheet. In our second quarter of 2016, capital expenditures totaled $6.5 million, down from $9.8 million last year. We continue to expect our estimated range of CapEx spend for 2016 to be $30 million to $33 million but more likely at the lower end of this range given our year-to-date CapEx of just under $11 million. We invested $14.3 million in acquisition activities during the quarter, down from $19.3 million in Q2 of last year. However, given the heavy investment in Q1, our year-to-date investment in acquisitions of $15.7 million, more than double our investment in the first half of 2015. We generated strong operating cash flow for working capital investment totaling $44.7 million in the quarter, nearly double to $24.6 million in Q2 of last year. Our net debt position stood at $243 million at the end of the quarter, compared to $257 million at the end of Q2 last year and $145 million at the end of 2015, which is our seasonal low point in terms of our debt level. Our leverage ratio, expressed as net debt to pro forma adjusted EBITDA, stood at 1.2 times, well below the 1.6 times at the end of our second quarter last year, which was the result of strong operating cash flow, more than offsetting our investments in the acquisitions previously noted. In terms of our financial capacity, with cash on hand and committed availability under our revolver we had over $250 million in liquidity at quarter end, a level ample to fund operations and other capital investments, including acquisitions under our growth strategy. Looking across our global operations. Our pipeline in most markets continue to reflect solid commercial real estate activity, comparing favorably to levels at this time last year with some continuing challenges in parts of Latin America and certain parts of Asia and some degree of caution being expressed in EMEA, primarily the U.K., given the affirmative referendum result on U.K.'s exit as a member of the EU. Notwithstanding the possible short-term dislocation of the market in the U.K., we firmly believe in the future growth of the U.K. while continuing to invest in this major market accordingly. More broadly, G20s recently announced commitment to use all polity to let global growth and counter the possible effects of Brexit, should support other relevant economic factors such as low interest rates, accessible financing and general stability in the supply and demand for commercial real estate in most markets and benefitting activity and sales, leasing and other commercial real estate services for the balance of 2016. That concludes our prepared remarks and I would now like to ask our operator to open up the call for questions.
Operator: [Operator Instructions] And we do have our first question and it comes from Stephen MacLeod from BMO. Please go ahead.
Stephen MacLeod: Just on the strong sales and lease brokerage activity in the quarter. Was there anything demand-wise that would have skewed that number higher, like maybe some business being pushed out of Q1 into Q2 or being pulled from Q3 into Q2? Or is that real organic growth that you are seeing in the market?
John Friedrichsen: I think there was a slight amount of activity in EMEA, a little bit in U.S. that was deferred from Q1 into Q2. But it was not anything material and not anything of significance pulled forward into Q2 from Q3 that would have materially impacted results at all.
Stephen MacLeod: Okay. Great. And then in terms of the outlook for the full year, you are still kind of cautiously optimistic that you are going to achieve the high end of that high single-digit organic growth rate for 2016.
Jay Hennick: Yes.
Stephen MacLeod: Okay. That’s great. And in Asia, you talked about some new personnel additions. Can you just talk a little bit about what markets you have invested in and what specifically you have invested in, like what parts of the business you have decided to bolster with new hires in Asia?
Jay Hennick: Well, Steve, you probably recall but a year ago we replaced the CEO for our Asia business, probably a little bit longer than that, probably 18 monthish, and a first class guy with a long-term reputation. And part of the goal there was, we wanted to upgrade our key professionals and leadership to put us ready for the next phase of growth in Asia and so you are just seeing some of it happening now. We have been investing in markets like Hong Kong, markets like Singapore. Two or three markets in China. Those are mostly the leadership of those markets and at the same time we have been recruiting heavily to augment our business, but in particular to full fill some service lines gaps that we have there. So I think you are going to continue to see a little bit of investment in Asia for the balance of the year. When key people come on, I generally takes six to nine months before you actually see results from them. But we are very excited about some of the moves that we have made and look forward to having a stronger business and becoming more active in Asia just generally. As the market's weaker there, we tend to look a little bit deeper from an acquisition or strategic growth perspective and these are all just steps leading up to it.
Stephen MacLeod: Okay. That’s very helpful. Thanks, Jay. And then finally, can you just talk a little bit about what you are seeing in the acquisition pipeline?
Jay Hennick: Yes. I mean from an acquisition perspective, our pipelines continue to be robust. This quarter, just interesting as I prepared my prepared remarks, most of the activity was in the Americas. But we have activity really in most of our regions throughout the pipeline. And so you will continue to see some smaller acquisitions, we tend to focus on acquisitions that are smaller. We can easily integrate them. We don’t have culture issues when we integrate them. So there is a lot but generally speaking, smaller.
Operator: Thank you. And we will go to our second question and it comes from Michael Smith from RBC. Please go ahead.
Michael Smith: Just following up on that comment about the pipeline, the robust pipeline. I mean I guess year-to-date you have done double the acquisition spend you did last year, year-to-date for the first two quarters. Is that a good run rate? Do you think you will hit $100 million in total?
Jay Hennick: It's a good question, Michael and revealing. We have, as you know, an Enterprise 2020 plan which deals with both internal growth and acquisition. And as long as we continue to move along that plan, we will get to essentially double the size of the business by the fifth year. And so we have had a good first start in acquisitions this year, there is no reason to -- we could have a good finish to the year. But our sort of hope is that we continue to complete acquisitions in an orderly way over the course of time and integrate them properly. So would we double? That would be a stretch, I would say, but you never know.
Michael Smith: Okay. But suffice to say that the 10%, as part of your enterprise 2020, the 10% external growth through acquisitions is on track?
Jay Hennick: It is, yes.
Michael Smith: Okay. And I wonder if you could just give us some color on -- you had a big jump in the Americas margin. So from what I understand, you have made a bunch of investments in the last 18 months. I wonder, if you could just give us a little color on how that’s going and the investments are over?
John Friedrichsen: Michael, it's John. Yes, over the last year, year and half for sure, particularly in our project management business, we did invest heavily in additional professionals to provide that service to the end markets. And it's something we needed to do to make investment first and then we have been successful in executing a bunch of additional contracts which now is effectively covering those additional costs that we saw some very good operating leverage in that particular part of the business. And then also obviously with transaction activity up as well, we were a beneficiary of that too from a mix perspective. So both things really impacting us positively in the Canadian market and then acquisitions as well complementing that, adding to our favorable outcome around the margin in the Americas.
Michael Smith: Great. Thank you. And lastly, I wonder if you could just give us a little bit more color on the U.K. and what your thoughts are?
John Friedrichsen: Look, first of all, you know from following us, U.K. is an important market for us. One that we have been investing in pretty regularly over the last several years. We have great hopes for the U.K. in terms of the market being an important part of our overall growth plan and platform. So we are closely in touch with our operating management team in that region. They continue to update us. To date, I think the headlines at least as it relates to us, is probably a little bit misleading. We continue to see activity there. Of course, it's a fluid situation and every day there maybe new information that comes out that could potentially impact the markets, but we are planning a way to service our clients and service the market and we are also looking for opportunities to grow our business in that time of certainty. Something that we have done in the past. And at this point, again, we are going to monitor the situation there closely but activity levels continue to be good really across most of our service lines in the U.K. and we are going to continue to, hopefully, have a good 2016. Take advantage of any uncertainty that might serve as some growth opportunities for us longer-term.
Jay Hennick: And so when John says growth, it's both acquisition growth but also recruiting opportunities. There are a few of our competitors in that market that are under pressure, given the mix of their business relative to others. Some have significant residential components to their business, the residential business is under some pressure. And that is giving us an opportunity to bring over some key people who we have been talking to for a long period of time and these are game changers in some cases. So it's never easy but growth in the U.K. is clearly in our sights and also in the rest of western Europe, I know the question was particularly related to the U.K. So growth from acquisitions but also growth from recruiting.
Operator: Thank you, Michael. And we have two more questions in the queue. Our next one comes from Brandon Dobell from William Blair. Please go ahead.
Brandon Dobell: First one, I guess get some color on the interplay between the leasing business and some of the outsourcing or advisory contracts. What are you guys doing to incent, I don’t know, let's call it cross-sell behavior, kind of more team play as opposed to silo play, either from an organizational structure or from a compensation perspective to make sure that you are capturing as much wallet share as you can on between outsourcing and leasing, any other kind of high-end service offerings.
Jay Hennick: Well, let me begin by saying we are not doing a good enough job. We have got a lot of work to do there and it pisses us off, to be honest, because there is so much more work we can do. But it's clearly in our sights and increasing the cross-referral of opportunity, not just in leasing, to outsourcing, but outsourcing to leasing and capital markets and vice versa. We are looking at this very closely and it's one of our strategic initiatives, frankly for the next year, is to find additional ways to create, I want to use the word flow, better flow between our different service lines. But we are not doing a good enough job there.
Brandon Dobell: I see. My guess is somehow you are not going to be satisfied no matter what happens but that makes sense. Rather have that than the opposite, I guess. Within the Americas business in particular, what are you guys seeing from a customer or inbound customer interest perspective in terms of service offerings or services that people are looking to you for that you can't or don’t have enough, or aren't broad enough, aren't deep enough. I am trying to figure out where we should expect, let's call it the non-capital markets business in the U.S., to focus on in terms of growth in the next couple of years.
Jay Hennick: Well, you have asked the first question, it actually relates to the second. We are seeing a lot of interest from foreign investors investing in the U.S. for obvious reasons. And capital markets is a wide description of the sale of real estate, whether it's big real estate, big, medium-size or small real estate. And as you can see, our sales brokerage business has been very strong. And I think part of that is foreign clients coming to the U.S., wanting to buy property there. It's happening in Canada as well, by the way because these are two stable markets and are seemingly not have been impacted by what's going on in western Europe and in Asia. So we are professionals in Asia. Primarily are introducing clients to North America in greater amounts. It's also interestingly happening in the U.K. There is a lot of interest now among Asian investors to buy real estate in the U.K. for two reasons. One is the obvious weakness there, but second is the currency impact. So there is a lot of cross-selling flow getting created and I think that that’s why you are seeing our sales brokerage up as much as it is.
Brandon Dobell: Got it. And one final question from that perspective as well. I think I know the answer but if you were to characterize the, I guess, the key property types, property sizes and maybe it's the sellers that you work with the most. How would you do that in the Americas? For example, big portfolio sales or opposed to deals that are $20 million, industrial versus office. I want to make sure I understand what the mix looks like now especially in investment sales in the Americas.
John Friedrichsen: I mean it's a bit all over the map. I don’t see big portfolios being sold, that’s typically more of a large capital markets at relatively low rates type transactions. We are seeing sort of $25 million to $40 million transactions. More interest in secondary markets, I think the primary markets have been to some extent picked over and the yields on that level of transaction in the major markets is very very low. So we are seeing activity in great markets like St. Louis and even Michigan has been very good for us. So that’s what we are seeing.
Operator: Thank you. And our last question in the queue comes from Stephanie Price from CIBC. Please go ahead.
Stephanie Price: Could you talk a bit about your pace of hiring brokers and whether it's changed at all, and also what regions you are adding brokers in?
John Friedrichsen: What was the last thing Stephanie?
Stephanie Price: Sorry, also the regions you are adding brokers in?
John Friedrichsen: Look the pace continues, Stephanie. I mean as part of our long-term plan, again identifying gaps in our service offering where we believe that we have a presence but we are not perhaps competing in a level that we want to and whatever pick you area, the transaction side, it could be on the sales side or leasing, depending on what we are representing, landlords or tenants. But we are continuing to focus on filling those gaps. And the pace has been pretty consistent over the last year or two. We have seen during the current year, some elevated expectations that you typically do. And we are being very disciplined and selective around our recruiting. It's a core part of our growth strategy but at the same time, we are being disciplined and need to generate a return like we do on any type of investment we make, even in these situations where we don’t have something on the balance sheet per say, these are very very important investment decisions to make and we are continuing to be very focused on it.
Jay Hennick: Yes. So I would add a little bit to John's question there. We happen to be in a market now where there is dislocation in some of the competitors, which is creating opportunities for us generally. And then we are looking at it from the standpoint of where do we have service gaps and I would say, 50%, 60%, 70% of the cases there is little or no cash that changes hands with brokers. It's only in some of the key markets when you are looking for a big player that’s going to be an impact player in a market or in a service line. And that, as John said, is critically important that we look at the return on invested capital if we were to do that and it’s not typically one person, it's typically a team that gets disgruntled wherever they are. Believes that there could be better opportunity in a more enterprising entrepreneurial environment. All want a change of scenery for a variety of reasons and the opportunity is to bring over a team. It takes a long time. I would say recruiting teams takes longer from start to finish than an acquisition, in many cases. And so it's a lot of dating, it's a lot of allowing them to understand what we have to offer versus where they are today, and at the same time us trying to figure out whether that person, the leader of the team, is our kind of person leader team. And so it's all over the place from that perspective but I think in this industry you have got to hug your ways and you have got to try and find other ways to bring in and you have got to develop your Bs to be As. I mean they both sound like trade comments but it is the reality of what we do and our leadership has to be fully aware of that, market by market, and let us know exactly what their keying in on and why.
Stephanie Price: Okay. Thank you. And John, just on the cash flow from operations, the working capital this quarter was a bit higher than we were expecting. Can you talk briefly about that?
John Friedrichsen: Working capital. It would just timing related, nothing -- if you look at the year-to-date, very very solid obviously. But any working capital usage will be, generally, timing related. Can be a little bit mix related in terms of some of the project management stuff where there is a little bit more of a working capital component. But nothing that would be materially impactful in terms of a full year basis.
Stephanie Price: Okay. Great. Thank you. And just finally, circling back to the acquisition environment. To date have you seen any change in the pricing expectations out there, especially in the U.K. and Western Europe?
Jay Hennick: Well, the U.K. and European acquisitions always seem to be a little bit more expensive in our experience than we have seen in North America but they tend to bring long tails with them. So if somebody is making a change in Europe, remember you are buying an organization of a number of people and they tend to be wide firms of people that sign up for a long period of time. So it could be five or seven years. So they are making a decision on where they want to be for the rest of their lives. And sometimes that justifies a little bit higher purchase price.
Operator: Thank you, Stephanie. That was our last question in the queue.
Jay Hennick: Okay. Ladies and gentlemen, thank you for joining us at today's conference call. We look forward to visiting with you again on the third quarter conference call whenever it is. So thanks for joining us.
Operator: Ladies and gentlemen, this concludes the second quarter investors conference call. Thank you for your participation and have a nice day.